Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Manchester United First Quarter 2016 Earnings Conference Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] We would like to remind everyone that this conference call is being recorded. Before we begin, we would like to inform everyone this conference call will include estimates and forward-looking statements which are subject to various risks and uncertainties that could cause the actual results to differ materially from these statements. Any such estimates or forward-looking statements should be considered in conjunction with the cautionary note in our earnings release regarding forward-looking statements and risk factor discussions in our filings with the SEC. Manchester United Plc, assumes no obligation to update any of the estimates or forward-looking statements. I will now turn the conference over to Ed Woodward, Executive Vice Chairman of Manchester United. Please go ahead, sir.
Edward Woodward: Thank you, operator, and thank you everyone for joining us today. With me on the call as usual are Hemen Tseayo, Head of Corporate Finance; and Samanta Stewart, Head of Investor Relations. As you can see from the numbers we’ve released this morning, we’ve had a very good first quarter with record revenues and EBITDA. Hem will go through the numbers in details shortly. Overall we’ve had a good start of the season on and off the pitch. On the pitch of course we are well positioned in the Premier League and the top of our group in UEFA Champions League. Off the pitch, the business continues to perform very well. During the quarter, we signed a global deal with Marathon, as our new official global betting partner and regional deals with Nexon about clubs first special football gaming partner in Korea, and Donaco International, as the club’s first official casino resort partner in several countries in Southeast Asia. During the quarter, we also signed our first licensing deal with Sbenu for leisure footwear in Korea. And since then we’ve entered into licensing deals with New Era, as our dual branded leisure headwear partner. The company is the industry leading headwear brand producing more than 35 million caps a year best known for being the on field cap for major league baseball, an accolade that’s held for 81 years. These rights are non-exclusive and Adidas will continue to manufacture headwear as well. HEROES, is our formal footwear partner, HEROES is a new union of its hit luxury brand being launched this year; they have exclusively produced a collection of high quality lifestyle Manchester United shoes. We’re actually pursuing other licensing deals which we look forward to sharing with you in the future. Adidas reports earnings last week and Herbert Hainer, the Group CEO mentioned that teaming up with the club has yielded unprecedented success so far. They also said many of these as global resale partners have reported a 200% increase day one sales compared to last year’s kit launch, experiencing phenomenal demand across the globe and declaring the Adidas Manchester United kit launch as the biggest ever launch of replica products. They sold a launch campaign break expectations around fun engagements across both Adidas and club channels, and quickly become the most shared video from Adidas in 2015 with more than 2 million users in only a few days. We are seeing strong sell through of Adidas products including the recently launched originals collections, which includes apparel, accessories and headwear. The key product is the limited edition Stretford shoe, the production of only 1,200 units in honor of the 1968 European Cup winning team. The shoe has been extremely well received and customers lined up through the night to secure their purchase, the key retailers in Manchester and obviously at the Old Trafford megastore. Kitbag recently released the ranking of top selling shirts in July to September and we thought the results were worth sharing. Memphis Depay is the new entrants in the ranks and was the third highest selling shirt in the world after Messi and Ronaldo. Three out of the top ten selling shirts of Manchester United players also including Schweinsteiger and Rooney. Last year whilst at Bayern Munich, Schweinsteiger ranked at number 31 and has now moved up to 4th position. As we previously mentioned, we believe the impact from player profiles around the world by joining Manchester United is very powerful and clearly the shirts sell figures are strong evidence of that. We continue to be excited about our partnership with HCL as our digital transformation partner. The partnership is still in its early stages and we are currently focus on defining the technical back office infrastructure to deliver the products as well as firming up the Skype [ph] for the initial products and capabilities that will be built over the next few quarters. This phase includes both strategic and technical planning, and cooperating input with HCL starts onsite with our team. Momentum is building well and we will keep you updated on future calls. On the broadcasting side, the Premier League continues to make good progress with the sale of international rights. Approximately two thirds of deals have now been sold on the international side including the U.S, Scandinavia, South Africa, the Middle East, Hong Kong, Singapore and Australia. According to press articles the rights for Hong Kong market was sold to the new entrant, Letv it’s more than doubled the previous deal with PCCW. During that press conference, which was extremely well attended with 450 accredited journalists, Letv said they will own the ownership for the Premier League Broadcasting rights in Hong Kong to market a number of their products in which the games can be watched including smartphones, tablets and other mobile devices. This is a Manchesting’s [ph] arm to have a entrant using the popularity of the Premier League to attract customers to its platform and create brand awareness and deliver fully integrated media proposition. As we have previously mentioned, we expect the international deal to be completed by the spring of next year. BT recently announced results and reported its best quarter ever with over 100,000 new subscribers attracted by the coverage of the UEFA Champions Football. This is a record sign up level in the quarter. According to recent Wall Street Journal article, in the U.S. NBCs audience size has risen a 150% on average compared with three years ago when the games were on Fox and ESPN. In addition, fans have streamed 44% more live minutes this season compared to the same period last year. The facts above support happily and the value of content continues to rise and the sport has the most valuable content. Before I hand it over to Hemen, I just wanted to mention that they are not [Indiscernible] announced that Cliff Baty will be joining the club as Chief Financial Officer. Cliff is a seasoned financial executive with international experience that fits with our global and growing business. Appointing Cliff has strengthened the finance team and he will work closely with Steve Deaville, who has been in business for 20 years and serves at the factory [ph] of group finance. I’ll now hand you over to Hemen to go through the numbers and we’ll be happy to take any questions you may have.
Hemen Tseayo: Thank you, Ed and hello everyone. I’m going to review our results for the first three months of fiscal 2016 which includes our tour to the U.S. and the summer transfer window. As usual, unless I mention otherwise, all figures are in U.K. pound sterling. Year-over-year comparisons drive fiscal 2016 will be materially impacted by three major themes. Firstly our recent to Champions League competition, secondly the commencement of the Adidas partnership and thirdly, the bringing in-house of our retail merchandising apparel and product licensing businesses previously operated by Nike. The final overarching themes for Q1 is the number of home games and we played an additional four games in this quarter compared with the prior year quarter. Two, relating to the Champions League, one additional Premier League game and one Capital One cup match. In terms of the headline figures then, I’ll first go to 2016 total revenues were up 39.3% to £123.6 million and adjusted EBTIDA was up 104.9% to £41.6 million delivering an EBITDA margin of 33.7% in the quarter compared with 22.9% in the prior year quarter. As with previous announcements we’ve included both adjusted net income and adjusted diluted earnings per share as we believe that in accessing the true comparative financial performance of the business it is useful to strip out the distorting impact of icons that are unrelated to the underlying business and then to apply a normalized tax rate of 35% for both the current and prior periods and we provide a reconciliation of this in the earnings release. Adjusted profit for the quarter then was £2.7 million compared to £4.2 million for the prior year quarter, due primarily to the £25.7 million adverse swing in profit and loss on player disposals from a profit at £18.3 in the prior year quarter largely made up of their sale of Danny Welbeck to a loss of £7.4 million, which is offset by increases in all three of our business sectors. Turning to the key items of note in the financial statements then, match day revenues were up £9.7 million primarily as a result of participation in the Champions League, the one additional Premier League home game and the one domestic cup game in the first quarter. Similarly, broadcasting revenues were also positively impacted by participation in the Champions League, the Premier League home games coupled with one additional Premier League live broadcast resulting in a £10.8 million increase over the prior year quarter. Commercial revenues were up £14.4 million, primarily as a result of the increase in merchandising, apparel and product licensing revenue as we commenced our partnership with Adidas which delivered a step up in the minimum guaranteed revenues coupled with the contribution from the businesses that reverted to us, including the Old Trafford megastore, e-commerce and licensing. It’s worth noting that the core underlying sponsorship business grew compared to the prior year quarter, however due to lower toll revenues from playing one less match overall the wider sponsorship subsector was flat. During the quarter, total operating expenses excluding depreciation and amortization were up 18.3% with total wages up 19.2% due primarily to renewals of contracts of existing players and the uplifts associated with participating in the Champions League. Other operating expenses increased 21.6% due primarily to retail merchandise apparel and licensing costs now being recognized grossed [ph] up on our income statement rather than effectively being bundled in the Nike profit share as was previously the case, coupled with higher variable costs from playing the full additional home games in the quarter. Net finance costs for the quarter were down £1.8 million primarily due to the reduction in interest payable on our senior secured notes and secured term loan following the refinancing that we did earlier on in June this year. Thus, notwithstanding the adverse swing of £25.7 million in the disposable of player registrations, profit for the period was £5 million. Based on our first quarter results and current visibility we remain confident that we will achieve our previously stated guidance for fiscal 2016 of revenue between £500 million to £510 million and adjusted EBITDA of £165 million to £175 million. Finally, we announced our second quarterly dividend this year of $0.045 per share which will be payable on the 7th of January 2016 to shareholders on record on the 30th of November 2015. With that, I’ll hand back to the operator and we’re ready to take your questions. Thank you.
Operator: Thank you sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Matthew Walker of Nomura. Please go ahead.
Matthew Walker: Thanks, thank you very much and hi, everybody. Got several questions please. The first one is what is the threshold for the English teams to retain four slots in the Champions League? That’s the first question. What do they have to do in order to make that four slots a reality, a continuing reality? Second thing is please can you update us on your guidance this year for tax and interest if you could, then if you could explain why your ordinary non player CapEx is falling, what should we assume for the full year? Then on sponsorship, you mentioned stores was being the reason for flat sponsorship, what would sponsorship growth have been if the stores were like-for-like, and was there any contribution in sponsorship from any of the four new sponsorship agreements that you mentioned in the release? And lastly, I’m sorry there are so many questions, but lastly on the phasing your guidance implies that revenues will be up something like 30% and your EBITDA up about 45%, right now in the first quarter of 39% and over 100% for EBITDA. Can you explain to us the phasing and through the year? Thank you.
Edward Woodward: Okay, thank you Matty. I will start with the first question on the UEFA coefficient. I think your question was what would need to happen for us to lose the four slot. It’s a relative analysis and the key to are Italy and Germany as we look at them. And in simple terms, if all of our teams perform on an average badly compared to all of the Italian and the German teams then there is a risk obviously that we lose our coefficient position and drop down to fourth place and therefore loose the fourth slot. It’s -- because there is an average it’s very difficult to say Team A needs to do this and Team B needs to do that. But it’s a relative analysis with those two countries being key. In simple terms, if we did as badly last year as and Italy and Germany did as well as they did last year then that fourth position would come under threat for next year.
Matthew Walker: Okay. And the second question related to tax and interest.
Hemen Tseayo: Yes, I’ll take that. Thanks Ed. With respect to the interest, I think we mentioned in our September call we expected net finance costs not just interest but the next finance cost which is the line that we think that to be just under 20 million or around the 20 million mark. And with respect to tax we tend not to guide frankly because that line will eventually [Indiscernible] can be potentially volatile subject to what we do in the transfer window as which obviously impacts amortization and so that’s it’s not allowing me to guide on, however what we do say is in terms of modeling or continue to achieve an effective tax rate of 35%.
Matthew Walker: Okay.
Edward Woodward: Okay and third question was non-player CapEx, why is it going down?
Hemen Tseayo: Yes, so I’ll take that also. With respect to non-player CapEx again, from the earlier quarter I think we’ve mentioned that we’ve been doing quite a lot of work on the Aon training center and a lot of that is timing frankly, obviously you see the cash. We’ve had a quite a bit of investment in that over the last couple of years, so it doesn’t need to be as high obviously as that has been the case in the past. They will obviously be continued investment but a lot of that is phasing and we continue to expect that number to be in the low double digits for this year. Then you had a question on tours, which I didn’t fully get. So could you please repeat.
Edward Woodward: I think, you are asking I think about stretching out to and what this sponsorship -- like if we do that.
Matthew Walker: Yes.
Edward Woodward: But what I would say like it is generically, because the second part of your question was what would be the contribution of the four deals that we got in sponsorship. We're not going to guide on that level and we never have, but if you take tours out and you look at the general business and underlying it, we're still happy that sponsorship is continuing to grow and we still think is a great opportunity there for us to monetize. And then the fifth question was phasing? Yes. The phasing with respect to our guidance, and so, you're absolutely right, Q1, which is the one that has the largest dramatic change from last year to this year and precisely I would expect that we have had an over 100% increase in respect to EBITDA, where I expect that would be very different for Q2 versus Q2 that probably – its obviously going to be higher, but not so dramatically. So I think this is the cadence of the matches and obviously of the impact of the Champions League versus zero, obviously last year being all delayed, Q3 then I expected to probably be the second highest delta. And in percentage terms the prior year and then again obviously Q4 a difference. Clearly when we get the opportunity to talk with models if you materially out obviously we can help you there.
Hemen Tseayo: Thanks Matthew.
Matthew Walker: Okay. Basically key to lower growth in this quarter, Q3 quite a high growth and then Q4 lower growth again?
Edward Woodward: Yes. But higher than Q2, yes.
Matthew Walker: Okay. Thank you.
Edward Woodward: Thanks, Matthew.
Operator: [Operator Instructions] Our next question comes from Lawrence Dann-Fenwick [ph] of Credit Suisse. Please go ahead.
Unidentified Analyst: Hi. It’s MRG [ph] from Credit Suisse. Good morning everyone. Just had a couple of questions. I wondered if you could maybe update us on your plans for stores outside of the U.K. whether you'd developed your thinking since the last call. And then, just also want to – secondly just touch on the licensing deals that you saw and you mentioned three ad in your prepared remarks. I wondered if you could just maybe walk us through how you're think about those deals, what sort of economic is associated with them and how many we should perhaps expect, so the run rate of deals that you designed, say, this year? Thanks.
Edward Woodward: Okay. [Indiscernible] I'm not going to give you too much guidance on these two questions unfortunately. First question around stores outside the U.K., we are not at the point of announcing yet. We're continuing to evaluate the landscape around this. We obviously got our arms fully around the Megastore which is having a fantastic year. And I'd rather report you when there's something that's done rather is being discussed. So I'll talk that one until the next couple of calls. The second question on license deals, yes, we've obviously announce some deals. As you know, all the rights will come back to us from a licensing perspective and we've taken a few of them and sold them already which is fantastic. These are material deals. I'm not going to guide around the economic, but I can guide that the first step for us was to create clean market or clear market. So we've actually shut down a number of the licensing relationship that we had that obviously ran co-terminus to the Nike arrangement and that's given us control in marketplace to be able to discuss with people what they want to do and how they want to sell it rather than having good still in the system. So, we're looking at non-apparel and apparel licensing opportunities all around the world. I think I mentioned to you in the past that we spoke as part of the potential renewal of the Nike deal. We spoke to many licensing companies around the world two, three years ago. So we are well up to speed in terms of category by category, country by country who we should be talking to and you'd expect quite clearly that we'll be doing the more attractive deals early. But I'm not going to guide on size. Typically these deals aren't as big as global sponsorship deals, deals that attract through the numbers as we progress through the courses.
Unidentified Analyst: Okay. That's helpful. Thank you. I just want to follow-up and if I could ask just on net play CapEx this year. Obviously I don't want to need you guide on the number, but I'm just wondering if we should think about CapEx is coming down from this year or whether last year was the peak, just kind of updated thoughts on, that’ll be helpful?
Edward Woodward: We’ve not going on to that question, we are not going to guide on the direction of net player CapEx as you know it can be lumpy, but we are not guiding on that.
Matthew Walker: Okay. Thank you.
Edward Woodward: Thank you.
Operator: And ladies and gentlemen, we’re seeing there are no further questions, we are gong to conclude today’s conference call. We thank you all for attending today’s presentation. You may now disconnect your lines.